Operator: Greetings and welcome to the Astec Industries, fourth quarter 2008 results. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) It is now my pleasure to introduce your host, Mr. Steve Anderson, Director of Investor Relations for Astec Industries. Thank you Mr. Anderson, you may begin.
Steve Anderson: Thank you, Melissa. Good morning and welcome to the Astec Industries conference call for the fourth quarter and fiscal year ended December 31, 2008. My name is Steve Anderson as Melissa mentioned, and I’m the Corporate Secretary and Director of Investor Relations for the company. Also on today’s call are Dr. J. Don Brock, our Chairman and Chief Executive Officer; and McKamy Hall, our Chief Financial Officer. In just a moment I’ll turn the call over to McKamy to summarize our financial results and then to Don to review our business activity in 2008 and also to provide some comments on 2009. In the way of disclosures this morning I’ll note, that our comments may contain forward-looking statements that relate to the future performance of the company, and these statements are intended to qualify for the Safe Harbor liability, established by the Private Securities Litigation Reform Act. Any such statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions. Some of those factors that could influence our results are highlighted in today’s financial news release and others are contained in our annual report and our quarterly and annual filings with the SEC. As usual, we ask you to familiarize yourself with those factors. At this point I’ll turn the call over to McKamy to summarize our financial results for the fourth quarter and for the year of 2008.
McKamy Hall: Thanks Steve. Good morning. We appreciate you joining us. The net sales for the quarter were $195 million versus $221 million in Q4 2007, for a decrease of 12%. The international sales were $65 million in the Q4 2008 quarter versus $85 million in Q4 2007, for a decrease of 24% or $20 million. Our international sales were 33% of Q4 2008 sales, compared to 38% of Q4 2007 sales. The international sales increased in the Aggregate and Mining Group in the quarter with a 26% increase. Our domestic sales for Q4 2008 were $130 million or 67% of total sales versus $136 million or 62% of total sales for Q4 2007, for a 4% decrease in sales dollars. Parts sales for ‘08 versus ‘07 for the quarter were $47 million versus $49 million or a 4% decrease. Part sales were 23% of the quarterly sales in 2008 versus 22% in 2007. The Underground segment was the only segment with an increase of parts sales in the quarter. We did have decreases in revenues in all segments, except the Asphalt which was flat for the quarter and that information was attached to your press release by segment. For the year, sales were at $974 million versus $869 million for an increase of 12% or $105 million. International sales were $353 million for the year versus $278 million for 2007, for an increase of 27% or $75 million. These increases occurred mainly in Asia, Canada, Africa and South America and international sales for the year were 36% of our total sales compared to 32% for 2007. Domestic sales for 2008 were $621 million versus $591 million for 2007. Domestic sales were 64% of our total sales versus 68% of our total sales in 2007. Parts sales for 2008 were $203 million versus $186 million for an increase of 9% and Parts sales provided 21% of our sales. In the gross margin area or gross profit area, our gross profit for the quarter was $43 million versus 2007 of $48 million, a decrease of $5 million or 10%. The gross profit percentage remained flat for the quarter. Looking at the year-to-date gross profit, 2008 was $234 million versus $210 million or a 11% increase or $24 million. For 2008 it was 24%, for 2007 24.1%, basically flat. I think, in light of all the conditions and everything that we went through during this year to achieve that 24%, was quite a miracle. On the SG&A, in the fourth quarter it was $35 million or 18% versus 2007, $30 million or 14%. In the fourth quarter, the sales did drop off quite unexpectedly and in that quarter, just some of the highlights of the SG&A increase. We had an increase in our general product liability insurance. This is the result of an actuarial calculation that was provided for our self-insured insurance company, and that was a twofold switch. It was an increase from the product liability side but a decrease from the workers comp side. The workers comp portion of it, because most of it does relate to gross margin, had a positive impact on the gross margin, a negative impact on the product liability, which is in the SG&A part. Also we have discussed on previous conversations how we have to book surp expense related to the price of our stock. In 2007 there was a $20 swing in the price of the stock downward and at the end of 2008 stock price was up $0.50, so on the P&L it created a $1.8 million of surp expense. That was a non-cash expense. We had about $0.5 million increase in health insurance. We also had about almost $1 million related to the Astec Australian Dillman acquisitions. Other than that, the primary factors were commissions, salaries and fringe benefits. For the year, we had $142 million versus $123 million or 14% of the sales or an increase of $19 million. There, the primary difference, payroll, commissions, health insurance, legal and professional and then ConExpo was $3.6 million for the year. We also had an increase of about eight tenth of a million in our restricted stock plan for the year. On the income from operations, we had $8 million for the quarter versus $18 million in the prior year, a decrease of $10 million or 56%. Year-to-date, our income from operations was $92 million versus the prior year of $87 million, an improvement of $5 million or 6%. Our interest expense was flat for the year. Our other income was $5.497 versus $493,000. We had excess cash in much of the year and we had a gain on sale of investments, which we disclosed in the subsequent events section of the third quarter 10-Q that was realized in October. So our net gain on sale of investments was the primary reason for the income in the other income. Our effective tax rate for the quarter was 32.6%. We had an R&D tax credit that was booked in the fourth quarter and some other credit adjustments. The effective rate for the year was 35.5%. The net income in Q4 was $9 million versus $11 million last year, an 18% decrease. The earnings per share were $0.38 versus earnings per share of $0.50 last year or a 24% decrease. Year-to-date we had net income of $63 million versus $57 million for 2007. The diluted year-to-date earnings per share was $2.80 versus prior year of $2.53, that’s an 11% increase in earnings per share. Our backlog is also disclosed on the attachment to the press release. Our backlog was at $193 million at December 31 of 2007, versus $281 million, an $88 million decrease or 31%. That is also discussed in the press release. The international backlog at 2008 was $88 million compared to $89 million at the end of 2007. So certainly at that point we had not seen any impact or very little impact from the strengthening of the dollar. On the balance sheet, we have a very strong balance sheet. We are well positioned financially. Our receivables are about $12 million under what they were the prior year, primarily a result of the slowdown in sales for the fourth quarter. The days outstanding were good. We were at 34.4 days versus 35.8 days at the prior year. Our inventory was at $286 million versus $211 million and at 2.9 turns versus 3.5 turns and Don is going to address this in a minute in his comments.  On the availability of credit, we have available on our credit line, $86 million at 12/31. Our loan has been extended with the current turns to May of 2011. Our capital expenditures were $40 million for the year. Our year-to-date depreciation was $17 million. Our cash flow will be attached to the 10-K and we will be filing that by next Monday, possibly on Friday, we will get that accomplished. As far as the expectations are concerned for 2009, Don is going to address that in just a second. This concludes my prepared remarks on the financials, but I’ll be glad to answer any questions you’ll have later in the call. Thank you.
Steve Anderson: Thank you, McKamy. Dr. Don Brock will now discuss Astec’s business operations for 2008 and make some general comments regarding 2009. Don.
Don Brock: Thank you, Steve. 2008 was an interesting year. We had three quarters of growth, runaway inflation, uncontrollable costs, high oil prices and a weak dollar, which certainly helped our international growth. In the fourth quarter we saw a sudden change. As everybody knows, in the marketplace the dollar strengthened about 40%. In about two weeks, credit dried up, the election occurred and we had considerable talk about stimulus packages which actually brought a lot of caution and a fear into many of our domestic customers. If you look at the entire year, our sales increased as McKamy said to $973 million or 12%. Domestic sales basically were flat with a slight increase of 5%, while international sales grew to 36% of our sales or had an increase of 27%. Our gross margins fell tenth of a percent or 11 basis points, but we were quite pleased to be able to hold the margins where they were in the light of all the inflation that we had in the early three quarters of the year. Our parts sales grew from $186 million to $203 million or increased 9%. For the fourth quarter, we saw a decrease in sales to $190 million from $221 million or down 12%. Our earnings fell from $11.4 million to $8.6 million due to the downturn in the overall economy. Earnings per share fell to $0.38 from $0.50 prior year. Our EPS for the total year increased from $2.53 to $2.80 a share. Year end backlog dropped 30% from $281 million to $193 million. During the year we had a number of positive events that we are very pleased with. We acquired our distributor in Australia, Q-Pave and changed the name to Astec Australia. We believe that will increase our distribution in Australia in selling products of a number of our companies that they had not previously sold. We acquired Dillman Equipment Company, which was a producer of asphalt plants, which will broaden our line of asphalt equipment and give us another manufacturing source in the north. We grew our international sales force, we grew in the green and sustainable markets, we grew in the mining market, and we developed a number of uniquely new products in the oil and gas business. We developed a number of new chippers in the wood fuel business. We are introducing a new line of concrete plants, a complete line, at the Astec operation, a new line of geothermal drills which we think will bode well in the conservation of energy side of the business. As we look forward to the first quarter and the year of ‘09, the year started very slowly. The talk of the stimulus led many of the states to delay highway lettings. Frankly, I don’t think that the economy would have been near as bad if we had never talked about the stimulus, but obviously the stimulus will help us, but states saw all of the write-ups about what they expected to happen with the either spend it or lose it, use it or lose it in the bill and how the money has to be spent in the first 120 days on highway work. As a result, many of the states held back their highway lettings, held back jobs that they had engineered and now are beginning to turn those loose. The stimulus will certainly help our business and we’re probably one of the best positioned companies to take advantage of it. With Dillman, 45% of our revenues come from the Asphalt and Mobile side of the business, which is basically all asphalt. The easiest work for states to get out is maintenance and overlay our inlays where they mill the road, and then inlay back where they have milled it out. With oil prices down, this lowers the price of asphalt. With increased recycle, this continuously lowers it. About 30% to 40% of the stimulus money will go to cities and counties which will do a considerable amount of maintenance and overlay of their roads. We expect this to be very beneficial to the Asphalt side of the business first. To the parts side of the business, many of the major customers cut back, particularly the larger customers which have large debt loads of cut back even on maintenance this winter and we expect as they put their equipment back to work, to see a considerable increase in our parts business. We secondly expect to see an increase in the aggregate side of the business. To produce aggregate for asphalt, you have to crush it finer and as a result that requires more crushing than just normal aggregates. We also see in the stimulus package a lot of effort to go to more sustainable energy and encouragement of things that will convert us from using oil to other products. We believe this will help in the gas drilling and pipelines and wood to energy. There’s $6 billion in the package for water and sewer, and the geothermal drills that we are now introducing, we believe will be utilized more. They are now utilized in practically all government buildings. We believe the states will spend the stimulus money very quickly. We see a number of multiple month lettings now going on. Instead of having one letting a month or one every two months, they are having as many as two per month. We think the states basically will spend the stimulus money first and shift the money they would normally spend to the latter half of the year which will help their cash flow, but this should help us to have a better than normal back half of ‘09. We began last week to see a pickup in the Asphalt business, and we feel like that we are very fortunate as we go forward to have a very strong balance sheet with little debt. As McKamy mentioned, we have a loan agreement that stretches out into 2011. Our inventories at this point are high, but that was intended. As we saw this buildup or pent-up demand with the stimulus coming, we converted a lot of steel and components that we bought during last year into finished products. We believe that will shrink during the month of March and during the second quarter and should give us much stronger cash flow in the back half of the year. We see a reduction in component prices and steel prices which we think will help our margins. The money we’ve spent the last few years in modernizing our manufacturing plants in lean manufacturing and continuous flow, we think will give us a low manufacturing base and allow us to take advantage of improvements as they go forward. Our continuing product development and new product introductions should help us to sustain our business now and to grow it as the markets recover in the future. We believe that we are in the best position to take advantage of the infrastructure spending. We also expect the next highway bill to be much larger and give us a return to growth over the next five to six years as it comes out and is introduced later this year. While we feel much better about the remainder of ’09, we expect the first quarter of ’09 to be less than the year-to-year last year, it was certainly be down. We’re also very reluctant to give guidance as we go forward due to the number of uncertainties that still exists on the national and world economies. We believe our company is very strong and we look forward as we go through the rest of this year and we expect to return to grow towards later part of this year and early part of next year. With that I’ll stop and answer any questions.
Operator: Thank you. (Operator Instructions) Your first question is from the line of Arnie Ursaner with CJS Securities; please state your question.
Arnie Ursaner - CJS Securities: Good morning. Most of my questions relate to backlog. There’s several questions related to that. How much of the backlog do you anticipate shipping in Q1? What have your order rates been since year end? What sort of book-to-bill are you running; and what sort of capacity utilization does your backlog and current work enable you to operate at?
Don Brock: Arnie, in January our backlog slipped about $10 million further down. In February we expect the backlog to increase. We have started to receive a number of orders both at Roadtec and at Astec for plants and pavers and milling machines. We still have not seen much improvement in the orders at companies like Peterson and in the underground, we haven’t seen much effect on that, and they are still extremely slow. As we go forward, everybody says they’ve got more quotes out than they’ve ever had; there’s a tremendous amount of quoting, but there’s still a lot of quite customers who want to see the effect before they spend the money. I talked to a customer this morning; he said “you better have a lot of finished goods, because it’s going to explode on you here about the second or third quarter, because nobody’s been spending anything and they’re going to need equipment.” I hope he’s correct and we’re not quite that optimistic but we feel pretty good that the stimulus will have a real positive effect for us. In regard to capacity, we are able to cut back on capacity. If you take overtime, in the Astec Inc. operation, the man hours they work, January-to-January was about off 30% from year-over-year, but they really haven’t laid off anyone yet; they just cut back practically all of the overtime hours, but some of our utilization in some of the companies is very low. In some of the aggregate and in the Peterson operation, their business is very slow and our utilization is very low. In the Asphalt side of it, if you consider the ability to throw back over time, our utilization is probably in the 70% range here and as low as 60% at Roadtec.
Arnie Ursaner - CJS Securities: If I can ask you a separate question, the CEO of Terex, yesterday indicated that his construction and road building units either have to be fixed or sold. How do you see their problems impacting your outlook for the upcoming year, and does that create some opportunities for you?
Don Brock: Well, we think it creates some opportunities. They are obviously a very good company and we respect how they’ve grown and how they’ve done. Their road building side of it is obviously not as large as what we got and we have the ability with our critical mass to do a lot more R&D and they are not as well positioned I guess to take care of it on the asphalt plant side of it as we are in some of the others, but they’re still a very good company. If they exit that, it would obviously help our market share and our business.
Arnie Ursaner - CJS Securities: Okay. Thank you very much.
Operator: Thank you. Our next question is from Mr. Rich Wesolowski with Sidoti & Company. Please state your question.
Rich Wesolowski - Sidoti & Co.: Good morning.
Don Brock: Good morning Rich.
Rich Wesolowski - Sidoti & Co.: Don, can you talk about the most significant changes in the mix of your product sales or inquiries stemming specifically from the fall in oil? I just think customers aren’t buying as much of everything as they did last year, but have you seen any fall off in the desire to reduce fuel consumption, raise recycle, etc?
Don Brock: Obviously Rich, when oil prices were, a barrel of oil was at $147, people were a whole lot more interested in reducing energy cost. The green initiative of going to the lower temperature asphalt is trains on the track. We’ve sold probably getting close to 200 of those units and we can’t build enough of them right now. So that’s been a great product for us. The need to go to higher recycle obviously has been reduced from a cost standpoint but still is a very, very economical alternative for states and the states are now allowing higher recycle. I don’t see that changing. It’s environmentally the right thing to do from a sustainability standpoint. As you’ve heard me say before, if we go from 15% to 50% recycle, we will reduce the amount of imported oil one week. The other thing, I think the industry is aware. As we go to more alternate fuels, we’re probably going to refine less oil and correspondingly less asphalt and I see for the long range growth and survival of the business, we’ve got to go to higher recycle and we are well positioned for that and I think that will continue to be on the front burner with everybody.
Rich Wesolowski - Sidoti & Co.: You mentioned the highway bill coming up later this year, can you detail your thoughts on the early rumblings you hear from industry insiders and maybe what affect if any, the success of the stimulus bill will have on the side of the six year plan?
Don Brock: Well, I think number one; the industry is very aware, the infrastructure portion of this stimulus bill is relatively small. Highways and bridges are less than 4%, but yet there is a whole lot of press talk about stimulus infrastructure helping it and I think the highway departments are really aware and on point that they better spend this quickly and show that it will stimulate the economy, which I believe it will. So I think you’re going to see them respond very quickly. You’re going to see a heck of a lot of work going on in the next few months. Secondly, to answer your question, there seems to be probably the best opportunity in my lifetime to see a major rebuilding of our highways and our bridges and our infrastructure coming up in this next bill. There’s talk of it being as much as 80% to 100% larger than the past one, in the $450 billion to $550 billion range. I hope that all of the other distractions doesn’t take away the initiative of getting that done. I have heard people say it’s going to get done by September, I’ve heard others say that it will be a continuing resolution over into the next year, but that I don’t know, but there’s two sides to that question there.
Rich Wesolowski - Sidoti & Co.: Okay and lastly I realize you had some wacky items that affected the gross margin and the SG&A specifically in the fourth quarter. Would you expect the company’s SG&A dollars to fall in 2009?
Don Brock: Yes, it will fall. We make cutbacks of that everywhere and we’re looking at controlling spending at about every level. I think we’re very fortunate to have a strong balance sheet. We have frozen all upper-level salaries. We did increase the hourly labor rates based on cost of living, as we normally have done in the past, but all of the officers and upper level management, we did not have salary increases this year and we have tried to squeeze everywhere we can; plus just the fact that energy costs are going down, a lot of that is helpful.
McKamy Hall: No ConExpo.
Don Brock: The other thing as McKamy mentioned, when we spent $3.7 million a ConExpo, we’re not going to have that this year, too.
Rich Wesolowski - Sidoti & Co.: Okay, thank you.
Don Brock: Thank you, Rich.
Operator: Thank you. Our next question is from the line of Jack Kasprzak with BB&T Capital Markets. Please state your question.
Adam Thalhimer - BB&T Capital Markets: Good morning. This is Adam Thalhimer calling in for Jack.
Don Brock: Good morning Adam.
Adam Thalhimer - BB&T Capital Markets: Just a couple of housekeeping items first. What do you guys expect for CapEx and D&A this year?
Don Brock: In CapEx we were looking at around $32 million. There’s about $10 million of that that’s carried over from last year and that was from American Augers where we’re building that new plant up there. Frankly, on the other CapEx we’re still holding back and really seeing that the market goes forward. A lot of this CapEx can be discretionary and some of the capital expenditures we’ve had, we have delayed on large machine tools, stretched out to later in the year, to make sure this recovery that occurs is real. On depreciation we are around $18 million I think, about $18 million.
Adam Thalhimer - BB&T Capital Markets: Okay. The expansion at American Augers, is that now complete?
Don Brock: No. They will be moving the machine tools in it in March. The building is nearing completion, but the cranes, machine tools and other stuff will go into it in March, probably be moving in, in mid April.
Adam Thalhimer - BB&T Capital Markets: How is the demand for directional drills now, compared to how it was say Q3, Q4 of last year?
Don Brock: It’s obviously all slowed down. Every time we build a building like that, things like this seems to occur, but we feel like we have a very unique drill rig as far as oil and gas, particularly gas for shallow drilling, that frankly no one else has right now and so we feel like that will continue to bring in some orders. We have a tremendous number of inquiries for those rigs. Obviously, it has slowed down, but frankly we expect a temporary slowdown this year. We expect towards the end of the year that oil prices will return back up, not as high as they were, but I think you’ll see drilling start back and depending on how this next energy emphasis goes on in this country, there’s going to be a lot of drilling for natural gas. So, while there may be a six months low in their business, we think it will be fine long range.
Adam Thalhimer - BB&T Capital Markets: Great, I appreciate that color. Just lastly on the timing of the stimulus benefit, if I’m understanding you guys correctly, it sounds like you’ve already started to see a little bit of a benefit and it’s more of a case where as those projects are let, you see demand almost immediately from that. It’s more of an up-front benefit rather than say a lagging benefit?
Don Brock: It’s up-front for companies like Roadtec and Carlson. It lags a little bit more for the asphalt plants and even further for crushing equipment. I’ve had numerous customers tell me “we need to buy a couple of pavers, we need to buy a milling machine, but we’re not going to do anything until we see how this stimulus package happens or do we get work.” I had one tell me a while back, when he signs the bill I’m going to order a milling machine, for example. So I think what we are seeing is that, the first one to be helped out of the box will be Roadtec and Carlson. Secondly, we’ve received about five orders for our asphalt plants in the last two weeks and there’s a lot more interest in asphalt plants than there have been in the past, but those deliveries stretch out a little further. So I think you’ll see a benefit in the second quarter and you’ll see a stronger third and fourth quarter than we normally have on an annual basis.
Adam Thalhimer - BB&T Capital Markets: Okay. Thanks for your time.
Don Brock: Thank you, Adam.
Operator: Thank you. Our next question is from the line of Robert McCarthy with Robert W. Baird. Please state your question.
Robert McCarthy - Robert W. Baird: Good morning guys.
Don Brock: Hey Rob.
Robert McCarthy - Robert W. Baird: Don, maybe we could start with your outlook for the first quarter. Understanding that you face sort of a double whammy here, you’ve got real soft customer demand and you built inventory in anticipation of the turn. So maybe we could talk about it in comparison. I’m trying to get an idea of exactly what you’re expecting, so that we calibrate our expectations correctly.
Don Brock: Rob, frankly we made money in January but not a great deal. We would expect February to be better, and we expect March to be obviously the strongest month of the quarter. If I have to make a wild guess, probably half of last year. I mean it started out slow here; just a lot of paralysis based on waiting for this darn bill to pass.
Robert McCarthy - Robert W. Baird: Yes, and maybe in terms of top line, I guess that implies you are probably down more than 25%, 30%?
Don Brock: Yes, somewhere like that. Yes, we were down probably 10% to 15% in January-to-January, but January is always slow.
Robert McCarthy - Robert W. Baird: Then we’ve seen periodic reports of a variety of employment actions that you have been forced to take. Is there a way for you to aggregate that for us? Maybe you could talk in terms of what kind of overall employment reduction you’ve made to-date? Is there a way for you to quantify what that might save you in terms of cost structure this year?
Don Brock: Rob, at the end of January, and we’ve made some additional reductions in February, but at the end of January we were down about 17% on headcount. On man hours worked January-to-January, we were down about 30% because again I guess I’ve been kind of paranoid over the years. I hate to lay people off. So we work a lot of overtime and that’s the first thing you cut out. So the difference in the number of people and the man hours worked is related to reducing the overtime. Some of the companies have made further reductions in February. I think we will be at the end of the reductions in February and my hope is that we’ll be calling some back in March for some of the companies like Roadtec that were first affected.
Robert McCarthy - Robert W. Baird: And then the idea of trying to come up with a total savings number?
Don Brock: I guess I don’t have that at the tip of my tongue right now. I mean, it’s a percentage wise. Obviously the SG&A hasn’t been cut back as much as direct labor, but I don’t have that number available.
Robert McCarthy - Robert W. Baird: Okay and then I wonder if we could talk a little bit about it. Materials and cost and pricing have been an extreme challenge for everybody in the business to manage. Presumably, your inventories, the inventory you’re carrying has fairly high cost material in it, but I also know you bought ahead some when costs were lower and I’m trying to understand, I think in your backlog you’ve got some higher pricing, but with demand weak, I’m sure you’re getting a lot of pushback from people. So could you at least talk generally about pricing, materials, expectations for the year?
Don Brock: Well, steel went from probably $0.40, $0.42 on discrete plate last year and on coil in the low 30s to twice that during the year, last year. It’s back down to where it started basically Rob. We never did pay the highest prices. We probably saw in the mid 50s in a lot of cases and bought a lot of it in the high 40s and the mid 50s. We have pretty well gone through most of that and so we are not hung with a lot of high priced steel. The other component cost, again, we are having some pushback from some of our vendors that they’ve got higher priced components that they need us to take, but yet on the stock markets you can get it a lot lower. So we are basically seeing prices back close to what they were at the beginning of last year. As far as the amount of inventory we have at the higher prices, we are not going to be significantly hurt by that.
Robert McCarthy - Robert W. Baird: Good, and pricing to customers?
Don Brock: Obviously, they are aware like we are. They are seeing that and there is some pushback there and I shouldn’t say the margins are being affected, but we’re having to price very competitively and that’s a touchy deal, I guess part negotiators.
Robert McCarthy - Robert W. Baird: As you know, there’s been a number of competitive assets that changed hands in the last year or two. What have you been experiencing in terms of behavior so far? I mean is everybody pretty well disciplined or do you have anybody that’s giving you some fits?
Don Brock: Well, in the paver side the largest producer really raised their prices last year, and then they’ve got aggressive again this year. So they’ve been probably the one that we’ve seen the most aggressive. They’ve got a lot of inventory. For a number of years we’re gaining market share and very competitive on prices and last year, when they got the market share, they raised their prices, but they have cut them back down. So we are seeing a lot of competition in the mobile side.
Robert McCarthy - Robert W. Baird: Alright. Okay, I’ll let somebody else go. Thanks Don.
Operator: Thank you. Our next question is from the line of Tom Hayes with Piper Jaffray. Please state your question.
Tom Hayes - Piper Jaffray: Hey, good morning gentlemen.
Don Brock: Good morning Tom.
Tom Hayes - Piper Jaffray: I was just wondering if you could maybe provide a little insight as to what you’re seeing in the international markets. It seemed that sales for the quarter were down. I just wanted to get some feeling for what you are seeing across the markets.
Don Brock: We’ve seen it slow substantially, primarily the weak dollar and the world economy slowing. I guess what we see Tom, is that hopefully the infrastructure spending will replace the downturn in international. It has not completely stopped. In a number of the segments we’re still doing okay, but it’s much slower. There is quite a bit of stimulus money. Canada’s got a big stimulus program on road building. About $10 billion for their size is very good, so the Canadians are spending money. Russia’s got a stimulus program again for roads and Australia’s come out with one. So there are a number of the international countries around the world that are using infrastructure to stimulate their economies. So we see it not stopping, but it will be slower, there’s no question.
Tom Hayes - Piper Jaffray: Okay and then I guess just on the mobile group, I know that’s been an area where you had done some headcount cutbacks and it still kind of came out with an operating loss for the quarter. Is that just a combination of demand falling off faster?
Don Brock: Yes. The demand really in October on that Mobile side just about stopped. I mean it was like a freight train hitting a wall. It slowed down; that was the first one to take the hit that we’ve seen. Likewise it seems to be the first one that will come out of the box with a stimulus package.
Operator: Thank you. (Operator Instructions) Our next question is from the line of Eric Prouty with Canaccord Adams. Please state your question.
Eric Prouty - Canaccord Adams: Great, thanks guys. The financing for your customers, maybe just a little bit more detail on, has that improved at all, is that becoming an issue, etc?
Don Brock: Eric, what we’re seeing within the privately owned companies seem to be pretty well, have pretty good balance sheets and seem to be able to get financing with local banks without a lot of problem. This is an unusual economy we’re in. The larger, publicly owned companies that have been very acquisitive over the years and made a lot of acquisitions and had a lot of debt, are in many cases struggling to refinance that debt and to pay it off, and not in every case, but in many cases and you know who they are and where they are. So they’ve been the ones that have really cut back on CapEx. What we’ve seen is the privately owned companies have not had that much trouble getting financing or they haven’t slowed down their buying and a substantial amount of our customers are family owned companies, very loyal and once you get them as a customer, they are very loyal and usually stay as a customer. So our base of customers have not been hurt as much as you would think.
Eric Prouty - Canaccord Adams: How about on the international side; any disruptions that you are hearing through some of your distributors, again from a financing standpoint?
Don Brock: International is a little different story. In international, getting international financing is tougher. We don’t have any distributor problems, but generally we get the money before it ships and generally the distributors internationally are not inventorying the equipment, they are selling it and buying it and in other words it’s a done deal. We had a couple of cancellations in Russia, but we’ve been able to resell that equipment in the crushing side of it, but I would say, most of the projects we’ve seen internationally are smaller projects, a larger number of them, but smaller ones and they seem to be able to get the money. Deals coming out of Venezuela is still tough and deals out of the Middle East have slowed down a whole lot.
Eric Prouty - Canaccord Adams: Great, thank you.
Don Brock: Thank you, Eric.
Operator: Thank you. Our next question is from the line of Robert McCarthy with Robert W. Baird. Please state your question.
Robert McCarthy - Robert W. Baird: I just had a couple of little follow-ups. McKamy, can you tell us in the fourth quarter, what are the two acquisitions contributed to revenue and backlog?
Don Brock: They are relatively small, but they are looking it up here.
Robert McCarthy - Robert W. Baird: Yes, just the total number is fine. While they are doing that Don, I wonder if you could talk a little bit about the introduction of your concrete plant line. Can you talk about a time line for that and does it start with one model and build to multiple or are you just going to start with one or what?
Don Brock: Rob, we’ve got about three models out. We had built a number over the years of roller compacted concrete plants and we see this as a pretty good opportunity as the cement producers are really pushing more growth in concrete paving, but 70% of our customers are in the ready mix business, so we will be building ready mix plants and paving plants. What we are going to be offering is, I had a customer over here last week that has got 12 concrete plants and about 12 of our asphalt plants and he looked at it and he talked for two hours and he finally pushed back from the table and he said “what you’re offering here is everything you guys already build.” He said it’s just components out of the asphalt plants you’re repackaging and that’s really what we’re doing. We have most of the component reengineered. It’s really applying technology that we’ve learned in asphalt over into the concrete side and we think we can make a much more uniform, consistent product and really differentiate our self, but we were at the World of Concrete, got probably 60 inquiries, a lot of people were very happy to see us on that side of the business. So we are pretty excited that it will be a growing side of the business.
Robert McCarthy - Robert W. Baird: How do we think about the average sales value of a concrete plant?
Don Brock: Typically much less than an asphalt plant; probably the least expensive batch plant. We’re building a combination batch and continuous, so we can run it either way. Our smallest one is about $0.5 million, and the most expensive would probably be $2 million. The big thing is we have a very highly portable, universal type plant that will run cement-treated base, roller-compacted concrete or continuous or batch concrete and most of these ready-mix plants are just a one product plant and this will do multiple products and for multiple uses. So we are pretty excited that that’s going to be a pretty good market for us. Do you have that answer?
McKamy Hall: $7 million in sales and $8.6 million in backlog.
Robert McCarthy - Robert W. Baird: That’s terrific and if I may, just one more number oriented question. You haven’t been in a position where you’ve had to at least to-date that I’m aware of, look at any adjustments to goodwill. Should we have some concern that that could emerge as an issue this year if, for example Peterson were to say incredibly weak; maybe you could help us by talking about where the goodwill is primarily assigned?
McKamy Hall: We did look at that as part of the year end audit run and that is not a problem at this point. Certainly, the outlook for the next five years is what normally determines what the situation is. So certainly as we go forward in this year, we’ll keep an eye on that and we’ll do a re-evaluation of it as we go through the year.
Robert McCarthy - Robert W. Baird: But with any luck, you should be able to avoid any problem there?
McKamy Hall: We just don’t have a lot of goodwill.
Don Brock: We don’t have a lot. It’s fairly insignificant in our net worth.
Robert McCarthy - Robert W. Baird: Yes. Okay, thank you.
Operator: Thank you. Our next question is from the line of Arnie Ursaner with CJS Securities. Please state your question.
Arnie Ursaner - CJS Securities: Hi. You had about a $35 million jump in the quarter in inventories. Can you give us a feel for how much of that is finished goods? I’m assuming you’ve been trying to work down your steel inventories fairly aggressively since they were high cost.
Don Brock: Arnie, I think I looked at it yesterday and year-over-year our raw on purchase was probably $18 million above last year and McKamy is handing me some numbers here. Raw and purchase is about $21 million above last year, and finished goods is about $50 million above last year. I have instructed our management team to take that raw and purchase and convert it to finished goods, while we’ve got something to sell or we can’t sell it when it’s in the raw form. Before you lay off, people go ahead and make it into a finished product. So I think that answer is about $20 million in raw and purchased and about $50 million in finished goods, increase over year-to-year.
Arnie Ursaner - CJS Securities: Okay, and maybe more of a conceptual question; obviously we’re getting the stimulus bill, but I think what will probably be a bigger driver for your business is the likely passage of a highway bill later this year. As you are in the field talking to contractors, are you sensing that they may want to hold off a year or may want to hold off until the fall and be absolutely certain we’ll get a very favorable highway bill before they place orders, or are you saying that they are confident enough that we will get it? I guess I’m trying to get a feel for would a levelheaded contractor place an order, given the economic uncertainty, given the financing issues, prior to seeing the passage of a highway bill in the fall?
Don Brock: Arnie, I think it’s a matter of the product mix. They will certainly buy the mobile equipment and they buy it more on an impulse and on, “I’ve got a big job today so I’m going to need another paver, I’m going to need another milling machine or a transfer machine,” so they buy those more based on right now. The longer range things like crushing plants and asphalt plants are a little more planning out. The other thing that makes them a little less to delay things, it takes a lot of time, from six months to a year to get permitting and zoning and everything for an asphalt plant and sometimes two to three years on a crushing plant. So if they’ve been planning it, they’ll go ahead and spend it when they get the permits, because it just takes so long and today you practically get an environmental monopoly when you put one in, because nobody is going to put one in next to you tomorrow, but I guess specifically I see the mobile equipment being helped the quickest from this. The other impulsive type buying will be portable asphalt plants and portable crushing plants where as they’ve moved all this work around in this stimulus bill, there’ll be work in every city, every county and a lot of these rural areas that typically don’t have much work, our products will ship more to portables than to stationeries. After the highway bill passes, I think you’ll see a pickup in stationary type equipment.
Arnie Ursaner - CJS Securities: Okay, thank you.
Operator: Our next question is from the line of Steven Pedian with SAP Capital Management. Please state your question.
Steven Pedian - SAP Capital Management: Good morning guys.
Don Brock: Good morning.
Steven Pedian - SAP Capital Management: Most of my questions have been answered, but I wanted to commend you on doing a great job managing the business in what’s obviously a difficult time, in particular your focus on maintaining a strong balance sheet. I think that you guys have proven how important that is, especially in this environment. I was hoping you could indulge me. I’m less concerned with what next quarter is going to be or the following quarter and just talk a little bit more about the general outlook for the business over the next three to five years.
Don Brock: Steven, thanks for your compliments or comments there, but we’ve tried to position the company for the long range outlook and not quarter to quarter and I guess I’m very excited that long range we are well positioned for high oil prices or lower oil prices now, which oil prices used to kill us one way or the other. We’ve pretty well positioned the company where I see as we go forward, with the push that the current administration has got, which I agree with, we need to be buying less imported oil and as we do, we will probably be drilling for more natural gas in this country. We will have more hybrid automobiles and I think as a result we’re going to have less oil being imported and less being refined and so it’s going to move our business more into the recycle area, which means more processing equipment. More of the asphalt guys will be milling up a lot of the 18 billion tons of mix we put on roads over the last number of years. There may be more shift to concrete, which is the reason we’re moving more in that direction, but we see a major growth in rebuilding our infrastructure in this country. The other thing we see is, in the underground side of business, we’ve got as much infrastructure below ground as we do above ground. If we’re going to clean up the water in our rivers, we can’t put sewage in it and many cities don’t have storm water systems separate from their regular sewer system. So we see a growth in that side of it. We see a lot of growth in the geothermal and the wood energies, the sustainable side. So we have try to position our companies to take advantage of all of these areas more as we switch different types of energy and as we rebuild the infrastructure.
Steven Pedian - SAP Capital Management: Great, sounds good. Thank you, guys.
Don Brock: Thank you.
Operator: Thank you. Our final question is from Rich Wesolowski with Sidoti & Co. Please state your question. 
Rich Wesolowski - Sidoti & Co.: Sorry if you mentioned it, how much cash did you get from the investment sale?
Don Brock: It was about, pre-tax around 6…
McKamy Hall: We gained $16 million, I believe.
Don Brock: Yes, $16 million or so. The gain was about 6, yes.
McKamy Hall: In the third quarter Q.
Don Brock: Third quarter Q.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to management for closing comments.
Steve Anderson: Thank you, Melissa. We appreciate your participation on this fourth quarter and year end conference call and thank you for your interest in Astec. As our news release indicates, today’s conference call has been recorded. A replay of the conference call will be available through Tuesday, March 3 and an archive webcast will be available for 90 days. A transcript will be available under the Investor Relations section of the Astec Industries website within the next seven days. All of that information is contained in the news release that we sent out earlier today. We appreciate your interest and thank you.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.